Operator: Good day, and welcome to the XL Fleet Second Quarter 2022 Earnings Call. All participants will be in a listen-only mode.  Please note, this event is being recorded. I would now like to turn the conference over to Stacey Constas, General Counsel for XL Fleet. Please go ahead.
Stacey Constas: Thank you. Good afternoon everyone and welcome to XL Fleetâs earnings conference call to discuss our results for the second quarter of 2022. With me today are Eric Tech, Chief Executive Officer; Donald Klein, Chief Financial Officer; Mike Kenhard, Chief Technology Officer and General Manager of Power Drive; and Colleen Calhoun, Vice President and General Manager of XL Grid. Our call this afternoon includes statements that speak to the companyâs expectations, outlook or predictions of the future, which are considered forward-looking statements. These forward-looking statements are subject to risks and uncertainties, many of which are beyond our control, which may cause our actual results to differ materially from those expressed in, or implied by these statements. We undertake no obligation to revise or update any forward-looking statements, except as maybe required by law. We refer you to XL Fleetâs disclosures regarding risk factors and forward-looking statements in todayâs earnings release. Our Annual Report on Form 10-K, and our other Securities and Exchange Commission filings. A copy of our press release has been posted to the investor relations page of our website for reference. The non-GAAP financial measures discussed in this call are reconciled to the U.S. GAAP equivalent and can be found in the press release that we issued this afternoon. With that, I will turn the call over to Eric Tech.
Eric Tech: Thanks, Stacey. And thanks to everyone for joining us on the call today. Iâd like to begin our discussion today by providing an update on our transformational M&A search process. First, as I discussed earlier this year, we institutionalized our search efforts through the formation of an investment committee, comprised of senior leaders and Board members. We are continuing to advance the M&A search process with active involvement from our committee and a team of outside advisors. As we continue to identify the best business opportunity for XL Fleet over the immediate and long term, it is important to emphasize that we are upholding the same rigor in our due diligence today, as when we kicked the process off earlier this year. Second, our cash position of approximately $322.4 million, exiting the second quarter continues to position us in the driverâs seat. We believe that we are an attractive M&A partner given our public company platform, our strong cash position, significant financial flexibility, and a world class team. Third, as I mentioned last quarter, our process and focus areas include the potential for us to pursue opportunities outside of XLâs traditional mobility focus. The search process has been eye-opening and highly informative. We have evaluated over 50 opportunities in the wider clean tech space to date, including opportunities spanning from mobility to stationary energy efficiency solutions and everywhere in between. We remain firmly committed to identifying opportunities that deliver value and position our company to contribute to the wide growing and cross-industry need for decarbonization. And finally, as we continue to narrow the focus pool, our team has identified exciting opportunities that achieve our three core requirements, which include one, a business that is making an impact on decarbonization; two, a leader in a mature and growing market segment; and three, a company that is generating positive EBITDA. We are more confident than ever in our ability to identify an opportunity that checks these boxes and accomplishes the long-term strategic objective that we set forth earlier this year. We look forward to providing further updates as we are able and hope to be in a position to do so sooner rather than later. Turning back to the business and operations, we continue to constantly assess the right and most efficient uses of our resources and capital. The challenging decisions that we made earlier this year include narrowing the focus of our Drivetrain business and better aligning our organization continue to benefit our business by preserving cash and investing in near term growth platforms. With that, Iâd like to turn it over to Mike Kenhard for a brief discussion of our Drivetrain business.
Mike Kenhard: Thanks, Eric. We were proud to have recently unveiled our first all-electric refuse vehicle at this yearâs WasteExpo. During the quarter, the team ran trials in California, which included our vehicle following a gas powered truck on a collection route. Our all-electric vehicles successfully completed the route with sufficient battery charge remaining evidencing the ability of our vehicle to efficiently service this application. The first customer demonstration unit has been delivered and the first customer orders are starting to come in. We are looking forward to delivering the first production customer units later this year. Regarding our previously announced U.S. Department of Defense project, the team has delivered the first demonstration unit on time for chamber testing at an army facility. The team remains on schedule to complete all the deliverables by the end of the year. Turning to our legacy business. The hybrid sales are  for the quarter. However, this is mainly driven by chassis delays of the customers. Two large deliveries that were scheduled for the second quarter will now ship in the third quarter with one of those having shipped already in July. However, the team is seeing some headwinds in the hybrid space, as customers are concerned over general market financial uncertainty as we move into the second half of the year. With that, Iâd like to turn things over to Colleen Calhoun to discuss our XL Grid business.
Colleen Calhoun: Thanks, Mike. Our World Energy business generated revenue of $2.2 million for the quarter compared to $4.2 million last quarter, and $2.4 million in the prior period quarter. We completed approximately 80 energy efficiency projects during the quarter. Our project backlog is approximately 120 projects at the end of the second quarter, reflecting strong momentum. But the team is facing some headwinds which began to impact the business during the second quarter. This includes significant utility program changes and project approval delays, material availability and longer sales cycle times attributed to large project mix. We continue to pursue a number of exciting opportunities resulting from the increased focus of carbon reduction by most of the New England utilities and remain focused on investing in the growth of our World Energy business, including expansion of the team. The team has brought on new hires with solar and mechanical capabilities. And the company is the top performing national grid, small business CDO, which stands for customer directed option across their territory. Now let me turn it over to Don, to walk through our financials.
Donald Klein: Thanks, Colleen. Revenues for the second quarter of 2022 totaled $3 million, compared to $4.8 million in the first quarter of 2022 and approximately $3.7 million in the prior year period. We reported gross profit for the quarter of approximately $600,000 compared with a gross loss of $400,000 last quarter, and gross profit of approximately $1 million in the first quarter of last year. Selling, general & administrative expenses for the second quarter of 2022 totaled $12.8 million, compared to $11.7 million last quarter and $10.8 million in the second quarter of 2021. SG&A expenses for the second quarter of 2022 included approximately $2.5 million in legal fees related to the previously disclosed class action complaints and SEC investigation. Adjusted EBITDA totaled negative $11.7 million, compared to negative $10.8 million in the first quarter of 2022 and negative $11.4 million in the prior quarter. As of June 30, 2022, we had cash and cash equivalents of $322 million, compared to $333 million in the end of the first quarter of 2022. Cash used in operations for the quarter was $11.2 million. As previously discussed, our focus remains on the most efficient uses of capital, including M&A where our search is centered around businesses in the ecosystem resulting from the growing need for decarbonization. Turning to our segment results. Revenue in our Drivetrain segment totaled approximately $900,000 compared with approximately $600,000 in the prior quarter, and approximately $1.3 million in the second quarter of 2021. Results in our Drivetrain business were negatively impacted by chassis delays. Segment loss for our Drivetrain segment was $3.4 million, compared with a segment loss of $5.9 million in the prior quarter and the segment loss of $4 million in the second quarter of 2021. Revenue in our XL Grid segment totaled $2.2 million, compared to $4.2 million in the prior quarter. As Colleen noted earlier, the sequentially lower results in our XL Grid segment was driven by utility program changes and project approval delays, material availability and longer sales cycle times attributed to larger project mix. Segment loss for XL Grid segment was $1.5 million compared with a loss of $1.4 million in the prior quarter. Iâll now pass it back to Eric for a few closing comments before opening it up for Q&A.
Eric Tech: Thanks, Don. In closing, our team is making significant progress in our pursuit of strategic and transformational M&A. We continue to execute on key parts of our business, including commercial development of solutions and innovations that customers demand. We remain focused on making the decisions necessary to best position our business for value creation over the near and long term. With that, I would now like to open up the lines for Q&A.
Operator: Thank you. We will now begin the question-and-answer session. 
 :
 :
Operator: Since there are no questions, I would like to turn the conference back over to Mr. Eric Tech for any closing remarks.
Eric Tech: Thank you. And thanks everybody for listening in on todayâs call. We really do look forward to getting back to you soon with updates on whatâs going to be a very exciting strategy that weâre taking in this company. Talk to you soon.
Operator: The conference has now concluded. Thank you for attending todayâs presentation. You may now disconnect.